Operator: Good morning and thank you for joining us today for Hovnanian Enterprises Fiscal 2016 Third Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and will run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in a listen-only mode. Management will make some opening remarks about the third quarter results and then open up the line for questions. The company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the Investors page of the company’s website at www.khov.com. Those listeners who would like to follow along should log on to the website at this time. Before we begin, I would like to turn the call over to Jeff O’Keefe, Vice President of Investor Relations. Jeff, please go ahead.
Jeff O’Keefe: Thank you, Andrew and thank you all for participating in this morning’s call to review the results for our third quarter which ended July 31, 2016. All statements in this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such forward-looking statements include, but are not limited to statements related to company’s goals and expectations with respect to its financial results for the current or future financial periods, including total revenues, adjusted EBITDA and adjusted income before income taxes. Although we believe that our plans, intentions and expectations reflected and/or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions or expectations will be achieved. By their nature, forward-looking statements speak only as of the date they are made are not guarantees of future performance or results and are subject to risks, uncertainties and assumptions that are difficult to predict or quantify. Therefore, actual results could differ materially and adversely from those forward-looking statements as a result of a variety of factors. Such risks, uncertainties and other factors include, but are not limited to changes in general and local economic industry and business conditions and impacts of the sustained homebuilding downturn; adverse weather and other environmental conditions and natural disasters; levels of indebtedness and restrictions on the company’s operations and activities imposed by the agreements governing the company’s outstanding indebtedness; the company’s sources of liquidity; changes in credit ratings; changes in market conditions and seasonality of the company’s business; the availability and cost of suitable land and improved lots; shortages in and price fluctuations of raw materials and labor; regional and local economic factors, including dependency on certain sectors of the economy and employment levels affecting home prices and sales activities in the market where the company builds homes; fluctuations in interest rates and the availability of mortgage financing; changes in tax laws affecting the after-tax cost of owning a home; operations through joint ventures and third-parties; government regulations, including regulations concerning development of land, the homebuilding, sales and customer financing processes, tax laws and the environment; product liability litigation; warranty claims and claims made by mortgage investors; levels of competition; availability in terms of financing to the company; successful identification and immigration of acquisitions; significant influence of the company’s controlling stockholders; availability of net operating loss carry-forwards; utility shortages and outages or rate fluctuations; geopolitical risks, terrorist acts and other acts of war; increases in cancellations of agreements of sale, loss of key management personnel or failure to attract qualified personnel; information technology failures and data security breaches; legal claims brought against us and not resolved in our favor; and certain risks, uncertainties and other factors described in detail in the company’s annual report on Form 10-K for the fiscal year ended October 31, 2015 and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, changed circumstances or any other reason. Joining me today from the company are Ara Hovnanian, Chairman, President and CEO; Larry Sorsby, Executive Vice President and CFO; Brad O’Connor, Vice President, Chief Accounting Officer and Controller; and David Bachstetter, Vice President, Finance and Treasurer. I will now turn the call over to Ara. Ara, go ahead.
Ara Hovnanian: Thanks, Jeff. We are happy to report a pre-tax profit for the third quarter and while we recognize it’s small, it’s definitely a step in the right direction. I am also going to be talking about our credit statistics, which have improved nicely during the third quarter as evidenced by our EBITDA, the interest incurred coverage increasing to 1.4x. And we will also talk about our recent bond transaction, which certainly improves liquidity and allows us to increase our land spend to grow our community count. Let me start with the quarter. We made steady progress in most metrics. If you turn to Slide 3, in the top left hand corner, you can see that total revenues grew to $717 million, a 33% increase versus last year’s third quarter. In the upper right hand portion of the slide, you can see that our gross margin was 16.9% in the third quarter of this year compared to 17.8% in last year’s third quarter. However, our gross margin did increase sequentially from 16.1% during the second quarter of 2016. In the lower left hand quadrant, you can see that we continued to leverage our SG&A expenses during the third quarter of this year. Our total SG&A ratio decreased 330 basis points to 9.3% during the third quarter from 12.6% in last year’s third quarter. In the lower right hand corner of this slide, we show that we had a $3 million income before income taxes and land related charges compared to a $9 million loss last year. Turning to Slide 4, you can see that some of the improvements we have made in our credit statistics. In the upper left hand corner, we show that our adjusted EBITDA increased approximately 75% during the third quarter to $56 million compared to $32 million in last year’s third quarter. And in the upper right hand corner, we show that our adjusted EBITDA to interest incurred also increased to 1.4x compared to 0.8x in the third quarter a year ago. Moving to the lower left hand quadrant, our adjusted EBITDA for the 9-month period more than doubled this year to $135 million. While in the lower right hand portion of the slide, we show that over 9 months adjusted EBITDA to interest incurred also more than doubled from 0.5x to 1.1x this year. We expect a solid fourth quarter with income before income taxes, excluding land-related charges and gains or losses from extinguishment of debt to be between $32 million and $42 million. Next, let’s look at our gross margin. The drag on our gross margin continues to be a combination of factors, including rising labor costs, higher incentives and concessions in order to disperse sales base and the impact of higher cost land we purchased in ‘13 and ‘14 when we and the industry were experiencing higher home absorption rates at our communities and construction costs that were much lower. As we continue to work through the land that we purchased in 2013 and ‘14, we expect to see our gross margin improve. By 2018, we expect to have delivered on virtually all the land that we purchased during the ‘13 and ‘14 period. And therefore, we expect the gross margin drag from this land to decline in ‘17 and ‘18. Finally, increasing labor costs continue to be a problem in many markets and are a headwind for better gross margins for us and the industry. We are not the only homebuilder, obviously, feeling pressure on gross margin. On Slide 5, we show 10 of our peers who reported June or quarter July end results plus our own. 10 of the 11 homebuilders shown reported year-over-year declines in gross margin. We suspect the same combination of factors I just discussed that are negatively impacting our margins are also having adverse effect on our peers’ gross margins. Fortunately, the decline in our gross margin during the third quarter was more than offset by continued improvements in our SG&A ratio, which we show on Slide 6. On the left hand portion of the slide, we show our annual total SG&A ratio from 2001 through ‘15. We consider 10%, the ratio that we achieved in ‘01 through ‘05 to be a normalized ratio. On the right hand portion of the slide, you can see that our third quarter SG&A ratio declined 330 basis points to 9.3%. Our improved ratio is also the result of our efforts to control SG&A expenses, improved sales pace per community and the 33% growth in our total revenues. During the first nine months of 2016, our total SG&A ratio was 10.2%. So even before the benefit of our fourth quarter, which will be our largest delivery quarter, we have reduced our SG&A ratio back to almost normalized levels. Now I am going to switch gears and talk about our community count and the current sales environment. Let’s turn to Slide 7, you can see that our consolidated community count has decreased 16% during third quarter compared to last year’s third quarter from 206 to 174. This decline was partially due to the sale of 10 communities in Minneapolis and Raleigh as we exited those markets and the conversion of four consolidated communities into joint ventures. In addition, we opened 83 new communities during the trailing 12 months and closed out of 101 older communities. However, you can also see that our joint venture community count has grown. The sale of two of our divisions makes for a challenging year-over-year comparisons for community count as well as net contracts. We will redeploy the capital from selling Minneapolis and Raleigh and the proceeds from our new re-financings into our more successful existing divisions. This will lead to positive comparisons once these new communities are up and operating. On Slide 8, we show that despite a 16% decrease in our community count, both the dollar amount of net contracts and the number of net contracts only declined 4% during the third quarter. The sale of Minneapolis and Raleigh, along with the phasing out of Tampa and the Bay area of California, makes the year-over-year net contract comparisons a less meaningful barometer. We believe a more appropriate barometer of our sales results is to look at our contracts per community, a key metric for efficiency. We show that our consolidated contracts per community increased 14% to 8.4 net contracts per community for the third quarter. As we said in our conference call, we shifted our focus from growth to reaping operating efficiencies and improving our bottom line. Improvements in net contracts per community allow us to receive the benefit of those extra deliveries from existing communities without having to add much, if any additional SG&A costs. And that certainly goes a long way to making us more efficient. Slide 10 shows our net contract results restacked as if we had a quarter end so that we can compare our results to nine of our public peers who also reported results for June quarter end. It’s not surprising that with the 15% decline in our community count that our net contracts also decreased but only by 2%. This doesn’t compare well to our peers, but you have to look at contracts per community for the whole story. If you look at contracts per community, as we do on Slide 11, we had the largest improvement among the nine peers reporting. Just to be clear, we show our net contracts per community for the same peers and the same period of time in the previous slide. Our 16% improvements in sales pace per community was the highest among our peers. Slide 12 shows our net contracts per community on a monthly basis, giving us much granularity and transparency as possible. The most recent month’s is in blue, the same month a year ago was in grey. For nine of the past 12 months, net contracts per community show year-over-year improvements and two months were flat. For the third quarter of 2016, our net contracts per community were up 14% compared to the same quarter last year. The month of August shows the slight decline year-over-year, but there were five weekends in August of ‘15 compared to only four weekends in August of ‘16. So we are not overly concerned with the slight dip, particularly given our very strong third quarter. On Slide 13, we show on the left hand side the dollar amount of our net contract backlog, including unconsolidated joint ventures, increased 8% to $1.5 billion. Despite the decline in community count, our backlog is still high and puts us in a good position for the strong fourth quarter. I will now turn it over to Larry Sorsby, our Executive Vice President and Chief Financial Officer.
Larry Sorsby: Thanks Ara. On Slide 14, let me start with an update on Houston. Despite almost 2 years of significantly lower oil prices, our Houston division continues to post very good results. During the third quarter of 2016, we saw the absolute number of net contracts in Houston increased by 6% year-over-year and net contracts per community increased 15% year-over-year to 6.9, which was the highest level for third quarter net contracts per community over the past 4 years. There are three things that set our Houston operations apart from many of the builders we compete against in that market. Number one, with an average home price on homes delivered of $306,000, we focus on a lower average price point. Number two, we do not build in any of the highly competitive master planned communities. And number three, we have less exposure to communities in the energy corridor in Houston than our peers. It’s been almost 2 years since oil prices have dropped and our margins and profitability levels in Houston remained strong. Despite another solid profitable quarter for our Houston operations, we remain cautious about the impact of lower oil prices on Houston economy. We continue to keep a close eye on the market and we will take appropriate actions should circumstances change. Of note, our Dallas, Texas operation, which is far less dependent on oil industry than Houston, remained strong as well. Houston and Dallas remain two of our strongest markets. Turning to Slide 15, you will see our owned and optioned land positions broken out by our publicly reported market segments. Our investment and land option deposits were $63 million as of July 31, 2016. Additionally, we have another $13 million invested in predevelopment expenses. On Slide 16, we show that our total lot count, including unconsolidated joint ventures, declined by almost 3,000 lots from the end of the second quarter to the end of the third quarter partly due to our exiting from Minneapolis, Minnesota and Raleigh, North Carolina markets. You can see the reductions and additions on this slide. We delivered about 1,600 homes. We walked away from 1,600 lots. 600 lots were sold with the land portfolios in Minnesota and North Carolina and we added 900 lots through new option contracts. As we redeploy the capital from exiting these two markets and the proceeds from our new debt transactions, we expect to see the lots added from new option contracts and new land acquisitions increase in the future. Looking at all of our consolidated communities in the aggregate, including mothballed communities and $281 million of inventory not owned, we have an inventory book value of $1.5 billion net of $460 million of impairments. Our inventory, excluding inventory not owned, declined $177 million from the end of the second quarter to the end of the third quarter. Some of the decreases caused by a high volume of our third quarter deliveries, however the primary drivers of the decline are about $65 million related to converting four consolidated communities into unconsolidated joint venture communities and about $50 million from land sales primarily related to our exit from North Carolina and Minnesota. We are focused on return on inventory and an important component of that is how quickly we can turn our inventory. On Slide 17, you can see that we have the second highest inventory turns over the trailing 12 months as compared to our peers. In addition to our historical focus on more heavily utilizing land options than the majority of our peers, more recently, our turns are also aided by utilizing land banking, which facilitates us purchasing lots on a just in time basis. Achieving a high inventory turnover will continue to be a focus for us going forward. Another area of discussion for the quarter is related to our deferred tax asset valuation allowance. During the fourth quarter of fiscal 2014, we reversed $285 million of the deferred tax asset valuation allowance. We should reverse the remaining valuation allowance when we begin generating sustained profitability levels higher than recent years. At the end of the third quarter of fiscal 2016, our valuation allowance in the aggregate was $635 million. The remaining valuation allowance is a very significant asset, not currently reflected on our balance sheet and we have taken numerous steps to protect it. We will not have to pay cash federal income taxes on approximate $2 billion of future pretax earnings. On Slide 18, we show that we ended the third quarter with a total shareholders deficit of $152 million. If you add back the remaining valuation allowance, as we have done on this slide, then our shareholders equity would be a positive $483 million. If you look at this on a per share basis, its $3.28 per share, which means that at yesterday’s closing stock price of $1.98 per share, our stock is trading at a 40% discount to our adjusted tangible book value per share. Over time, we believe that we can repair our balance sheet and have no current intentions of issuing equity anytime soon. As seen on Slide 19, after spending $132 million on land and land development in the third quarter, paying off $320 million of bonds have matured between October 15 and May 2016. We ended the third quarter with $188 million of liquidity, which is within our liquidity target of between $170 million and $245 million. I am now going to talk about the capital market transactions we closed yesterday. For over a year, we have made comments that our preference was to refinance upcoming debt maturities rather than use our internally generated cash to retire them. However, to-date, the high yield markets have remained close not just to us, but to most triple-C issuers and we paid off rather than refinanced $320 million of our debt as it matured between October 2015 and May 2016. Earlier this year, we began talks with H/2 Capital Partners that led to a series of transactions that we announced on July 29. The easiest way to describe these transactions is that they provided us with the capital needed to refinance the $121 million of 8 5/8% debt that matures in January 2017. The first part of the transaction involved tendering for the debt that was scheduled to mature in January 2017. While we did not receive the required 90% participation to successfully complete the tender offer, yesterday, we announced that we are calling all of our January 2017 notes at the make-whole price of approximately 102, about a point higher than our tender offer. In order to fund this call, yesterday we issued two separate notes totaling $150 million, both of which were purchased by H/2. The first was a new $75 million super priority term loan and a floating rate of LIBOR plus 700 basis points, which is at the moment equates to about 7 3/4% that comes due on August 1, 2019. The other one is $75 million of 10% second lien notes that come due October 15, 2018. The collateral for both of these notes is the same as the collateral for the 7 1/4% first lien notes and 9 and 8% second lien notes due in 2020. We will be filing the indentures for these two notes as exhibits to our 10-Q this afternoon, but I wanted to make a brief comment on land banking restrictions that are being put in place as long as these two notes are outstanding. There will be a $10 million quarterly limitation on land banking properties that are owned by us. However, there will be absolutely no restrictions on our ability to land bank newly identified parcels of land we do not own. Additionally, as the final part of the series of transactions with H2, we exchanged $75 million of our 9 and 8% second lien notes due November 2020 held by H2 for a new 9.5% first lean note that comes due on November 15, 2020. These new first lien notes will be collateralized by the same assets that currently are held as collateral for 2 and 5% notes due in 2021. On Slide 20, we show our pro forma maturity ladder which takes into effect these new transactions. This series of transactions will allow us to increase our land spend over the near term rather than accumulate our own cash to pay off our $121 million of January 2017 maturities. Over the prior 10 months, we have reduced our land spend due to paying off $320 million of debt. While the additional liquidity from the transactions we closed yesterday will provide capital to purchase land to increase our expected 2,000 deliveries, the larger benefit will be to deliveries in 2018 and beyond. We expect to shrink our consolidated deliveries in 2017 due to a combination of issues. First, our decision to exit from Minnesota, North Carolina, Tampa and the Bay Area of California markets; second, our decision to convert four wholly-owned communities into JV communities and placing four additional communities we control by option that we initially planned as wholly owned communities in the joint ventures, both of which we discussed during last year’s quarterly analyst call. Lastly, our less aggressive land spend over the prior few quarters also reduced our expected 2017 deliveries. However, when you look at our total deliveries expected in fiscal 2018, including both wholly owned deliveries and deliveries from unconsolidated joint ventures, we now expect 2018 total deliveries to be similar to what we anticipate to achieve during fiscal 2016. As we look forward, we need to improve our profitability levels which will help improve our credit statistics and regain further access to the capital markets. Turning to Slide 21, we are refining our guidance for 2016. Assuming no changes in current market conditions, we expect to report total revenues of between $2.7 billion and $2.9 billion for all of fiscal 2016. We expect our gross margin for all of fiscal 2016 to be between 16% and 17%. Additionally, we expect SG&A as a percent of total revenues for all of fiscal ‘16 to be between 9% and 10%. We expect adjusted EBITDA to be between $200 million and $225 million for the year. Excluding any land-related charges, gains or losses from extinguishing the debt and other non-recurring items such as legal settlements, we expect the pre-tax profit for all of fiscal 2016 to be between $25 million and $35 million. We feel like we are in a position to once again deliver solid performance metrics and we look forward to delivering improved results for the remaining quarter of this year and beyond. I will now turn it back to Ara for some brief closing comments.
Ara Hovnanian: Thanks, Larry. As I said at the onset, we are happy to report our pre-tax profit for the third quarter and while the pre-tax profit is obviously small, it’s definitely is that’s in the right direction and we are very focused on improving our profitability levels from here. As I also said, we are pleased that our credit statistics have improved quite a bit during the third quarter. And as I mentioned, the key measure for us, the EBITDA to interest coverage increased to 1.4x. Closing the transaction that Larry described with H/2 allows us to reinvest in more land sooner than we previously thought we would be able to. The fact that we don’t have to accumulate cash to pay for $121 million of debt that was due to mature in January of ‘17 gives us the ability to redeploy that capital and invest in new communities. Ultimately, these investments will reverse the declining committee count trend that we have seen in the past quarters. Our consolidated deliveries will shrink a little bit in 2017. However, we will be reinvesting in land, as I said, sooner than we previously thought and our 2018 total deliveries should get back to the 2016 levels. We remain focused on executing our business plans by closing out the year with a strong fourth quarter and beyond that getting to higher levels of profitability over the next several years. That concludes our formal remarks. And I would be happy to open up the floor to questions.
Operator: [Operator Instructions] Our first question comes from the line of Sam McGovern from Credit Suisse. Your line is open.
Sam McGovern: Hi, guys. Thanks for taking my questions. Just with regard to the financing transactions that you closed yesterday, I was hoping you guys could discuss your thought process there just in terms of the limitations in terms of using the baskets, etcetera versus the way you have previously funded things through land banking. How did you think about this transaction versus that?
Larry Sorsby: Well, I think we looked at this transaction very favorably. It’s favorable rate as compared to some of our other ways of pulling liquidity levers. And I think it’s a first step towards re-accessing the capital markets, which I think is also very important to the company as a whole. And the limitation on land banking, from our perspective, is de minimis. Historically, we typically with land bank parcels that were under our control, but not yet owned, we really didn’t do much land banking of owned properties. However, last fall, when the capital markets closed to us relatively suddenly, we had near-term maturities. We took a portfolio of land that we owned and land banked it. So, we would kind of look at that as a one-off proposition for the most part anyway. So, we don’t think that limitation of land banking is a material limitation to us, because going forward, as we identify new parcels that we want to put under control if we decide the land bank, there is nothing to prevent us from doing so due to these transactions.
Sam McGovern: Got it. And you highlighted that it does not restrict the land banking for some newly identified lots earlier in your prepared remarks as well. Should we expect new deals for that to be forthcoming or you are just highlighting it?
Larry Sorsby: I think that we will make decisions as we look at individual parcels as to whether we want to do it wholly-owned or whether we want to do it under a land bank. I mean, we now have cash that we weren’t anticipating having prior to the H2 transactions that we wanted to deploy first.
Sam McGovern: Got it. And for that $40 million of restricted cash that’s identified for additional debt retirement, can you talk a little bit about where you guys would target would it be the near-term maturities at the end of 2017 or would it be for some of the notes that are trading at a lower dollar price?
Larry Sorsby: Yes. I don’t think I want to be any more specific than it’s available to retire debt.
Sam McGovern: Okay, great. And then this is my last question, can you talk a little bit about target leverage, how you guys get there and just where we...?
Larry Sorsby: I mean that’s always interesting point. I mean one of the things that we learned in the last downturn is that our target leverage at that point was 50% debt to cap. We actually entered the homebuilding great recession below that and it [indiscernible]. So it’s kind of an interesting point because we are leveraged, like I had to say to infinity and beyond, since we have negative equity. So rather than set a new target right at this second, we need to get back to our old target of 50%. But frankly, I think that once we achieve that, it’s more likely for us to set a target with a three handle, 30% handle kind of targeted leverage. But we got ways to go before that’s something that we can do on a near-term basis.
Sam McGovern: Great. Thanks so much. I will pass it on.
Operator: Thank you. Our next question comes from the line of Alan Ratner from Zelman & Associates. Your line is open.
Alan Ratner: Hi guys. Good morning and thanks for taking my questions. First one, just on the joint ventures, as the number of JV communities is increasing and next year, it sounds like you expect deliveries to increase quite a bit there as well, how should we think about the profitability coming from JV is because you have been printing losses there and those losses have been expanding as you are opening more JV communities, so should we be extrapolating that out or is there a reason why that loss has been increasing over the past couple of quarters and how do you think about the overall profitability there?
Ara Hovnanian: Sure, this is Ara. The reason to losses you are seeing right now is we are starting many brand new joint ventures. And they are at startup phase. We have got expenses associated with them, but not the deliveries yet. The new properties that we are joint-venturing, we absolutely expect to be very profitable. And the structure of the joint venture is quite favorable for us while as long as we perform as we anticipate, while our partner puts up the majority of the capital, we end up with the majority of the profits. So it is a good win-win partnership with GTIS. And we have done numerous ventures with and it’s been a very good relationship.
Alan Ratner: That’s helpful. Thanks Ara. And then second, just on the liquidity and kind of the conversation around cash. First, I know you have some outstanding borrowings on the revolver that’s coming due in ‘18, so curious if you have had any conversations with the lenders there or any plans for that. And then just thinking about the proceeds you got from H2 transactions, you mentioned several times looking to deploy that cash, but really with maturities now just kind of being pushed out into ‘18 and ‘19, it would seem like you need to get that cash out pretty quickly and really have it be primarily finished lots that you could turn over the next, call it 12 months to 18 months in order to have that cash back to get ready for those maturities, unless I am thinking about that wrong, so maybe just talk a little bit about ‘18, ‘19 period, how quickly you think you could get that cash out and back in the door and the revolver? Thank you.
Larry Sorsby: Yes. Let me take the second question first, because that’s the one I can remember and you may repeat the first question. But we believe that as our performance continues to improve that we will be able to access the capital markets again. So we are not contemplating that we are going to be shutdown from refinancing debt forever. And I think we are optimistic that sometime between now and ‘19, we will be able to re-access the capital markets simultaneously as our performance improves and we start to de-lever, maybe we won’t refinance everything. So we are not thinking about this in terms of having to get the capital that we are redeploying back in a certain period of time. Having said that, much of the new communities that we have been doing in recent years has been averaging 50 lots, 60 lots per community and have averaged roughly a 2-year life, so that’s typically what occurs anyway, but not necessarily because we are looking absolutely to have that money back by the date that you were suggesting. And I have been reminded of your first question really is the revolver. And on the revolver side of the equation, we are not anticipating that we will be able to extend that revolver. We are anticipating paying that off in the summer of 2018.
Alan Ratner: Great. Thanks for all that detail. Good luck.
Operator: Thank you. Our next question comes from the line of Nishu Sood form Deutsche Bank. Your line is open.
Tim Daley: Well, this is actually Tim Daley on for Nishu. Thanks for taking my question. My first question is in regards to the JV versus wholly owned communities, just trying to gauge, when you say that the full year ‘18 closing is going to be similar on a total levels of ‘16, could you breakout how much of that will be coming from JV versus wholly owned communities and compare that to what basically the breakout is for ‘16?
Larry Sorsby: Yes. We are not going to give you detail on that. What we are really trying to do is just tell that we have reconfigured. We are going to be doing roughly the same volume in ‘18 that we have done – that we anticipate doing in ‘16 and keep implying that ‘16 is a huge increase compared to what we actually achieved in ‘15. So as Ara and I like to say, we had 2 years worth of growth and 1 year this year, maybe is 3 years worth of growth and 1 year. And although we are going to take a little bit of a step backwards in 2017, by 2018, the combination of JV deliveries and wholly owned deliveries will be back to roughly the same level that we anticipate to achieve in ‘16. But they will be a little more weighted towards JVs and less weighted to wholly owned is about the only insight I am able to give you at this time.
Tim Daley: Alright, that’s very helpful. And then my second question, in regards to selling commissions, I was just curious, can you put numbers around how the commissions have trended over the past year. And then as well, do you – all your commission seem to be SG&A line or is there any other allocations somewhere else?
Ara Hovnanian: To answer the second part first. All the commissions are in cost of sales for us, both internally and external commissions. And commissions as a percentage of revenue have not changed dramatically in the last year or so, it’s been about the same.
Larry Sorsby: The only thing I might add, we have seen incidences of the outside brokerage commissions getting a little additional incentive in some of the more competitive markets. But that’s more anecdotal than a widespread trend.
Tim Daley: Alright, great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Susan Berliner from JPMorgan. Your line is open.
Susan Berliner: Hi, good morning.
Ara Hovnanian: Good morning.
Larry Sorsby: Good morning.
Susan Berliner: So Larry, I guess I want to start first with you with regards to the H2 transaction and it was helpful that you gave land banking restrictions, can you talk about any other restrictions such as joint ventures or any holding on to X amount of inventory?
Larry Sorsby: No other restrictions.
Susan Berliner: Okay. And the additional, you got some additional liquidity in the transaction, can you say on a pro forma basis, have you used that to pay down the revolver?
Larry Sorsby: Can I say if I have?
Susan Berliner: Yes.
Larry Sorsby: I have not.
Susan Berliner: Okay. And then I guess Ara, you had given some commentary with regards to forward guidance and I wanted to focus on the margin because I know you guys aren’t the only ones talking about labor issues, but I guess as we look forward, are you expecting any improvement in gross margin going forward?
Ara Hovnanian: Well, as I indicated, we are still feeling the headwind from all the areas I mentioned. We did make a little sequential improvement and we expect to get some continued incremental improvement next year. As I mentioned, part of that drag is from purchases we made in ‘13 and ‘14, much like many of our peers. Construction costs were much lower. They have gone up quite a bit since then and paces have changed, although that’s improving. But we think we will expect our margins to gradually creep back. I mean it is interesting that it was just 2 years ago in ‘13 and ‘14 when our gross margin was 20%, which was a more normalized level by going back in our longer term history. It certainly eroded for many including ourselves, but we are anxious to get it back to the levels that we just recently achieved.
Susan Berliner: And just I guess following up on the SG&A, so obviously you took it down a little bit for this year, considering the makeup of joint ventures versus wholly-owned, how should we think about the wholly-owned SG&A margin in 2017 and ‘18?
Larry Sorsby: Yes, I would say that if you are able – and you are not able to do, Sue, so I will first say that if we treated the JV deliveries in ‘17 and ‘18 as if they were wholly-owned and treated the management fee – if we just looked at it as one of JV and it was a consolidated community, our SG&A numbers are going to be similar to what we report in 2016. The fact that we have more JV communities delivering in ‘17 and ‘18 SG&A might tweak up a bit on a consolidated basis.
Ara Hovnanian: Overall, what’s important for us is velocity per community and that has a very big impact. That has been improving. So, that’s directionally in the right way. The other thing is as we are hoping to do a similar volume overall with four fewer divisions, that helps our SG&A as well. It’s a little more efficient to have fewer, larger divisions.
Susan Berliner: Great. And then I guess my last question would be just on the August orders, I know you discussed the difference in weekends. Can you talk about, I guess, the traffic in the communities? And I guess highlight any markets that did better than you expected or did worse, I know you talked about Houston and Dallas?
Ara Hovnanian: Yes. Overall, I would say, it’s been relatively consistent across geographies. I don’t think we can say we have had any real standouts. Perhaps Maryland has been just a touch slower than some of the others. And we are a little bit behind in getting some new openings in Southeastern Florida that we had counted on. The models are just running a touch behind. So, that is part of it as well. But all-in-all, I mean we came off of a very strong third quarter and we are not seeing any substantial shift in the marketplace. August is always a tricky period anyway given all the back-to-school activities, vacations, etcetera.
Susan Berliner: Great. Thanks so much.
Larry Sorsby: I will give you one more factoid. When you combine July and August together, sales per community were roughly flat year-over-year.
Ara Hovnanian: Any other questions?
Susan Berliner: No, that’s great.
Ara Hovnanian: Okay.
Operator: Thank you. No other questioners in the queue at this time. So, I would like to turn the call back over to Ara Hovnanian for closing remarks.
Ara Hovnanian: Great. Well, thank you very much. We are making progress a step at a time and we look forward to reporting the great fourth quarter as our year concludes. Thank you.
Operator: Ladies and gentlemen, thank you again for your participation in today’s conference call. This now concludes the program and you may all disconnect at this time. Everyone, have a great day.